Operator: Good morning ladies and gentlemen. Thank you for standing by. I would like to welcome everyone to the Canaccord Genuity Inc Fiscal 2021 Second Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being broadcast live online and recorded. I would now like to turn the conference over to Mr. Dan Daviau, President and CEO. Please go ahead Mr. Daviau.
Dan Daviau: Thank you, operator, and thanks to everyone joining us for today's conference call. As always, I'm joined by Don MacFayden, our Chief Financial Officer. Following the overview of our second quarter fiscal 2021 results, both Don and I would be pleased to answer questions from analysts and institutional investors. A reminder that our remarks and responses during today's call may contain forward-looking statements that involve risks and uncertainties related to the financial and operating results of Canaccord Genuity Group Inc. The company's actual results may differ materially from management's expectations for various reasons that are outlined in our cautionary statement and in the discussion of risks in our MD&A. Our discussion today may also include certain non-IFRS financial measures. A description of these non-IFRS financial measures and their reconciliation to comparable IFRS measures are contained in our earnings release and MD&A for the fiscal quarter. By now you've all likely had a chance to review these documents and our supplementary financial information, which were made available on Friday evening. They are available for download on SEDAR or the Investor Relations section of our website at cgf.com. We have also posted our quarterly investor presentation on line. I will cover the entire presentation during this call, but I will refer to certain slides as part of our discussion. Our performance this quarter demonstrates the breadth of our offerings, the resilience of our business mix, and the strength of our entire CG team. Despite lingering market uncertainty driven by COVID-19, Brexit and U.S. federal election, we have delivered outstanding value for our clients while continuing to execute on our strategic priorities. Notwithstanding the challenges, we produced, record quarterly revenue and delivered strong financial on operating performance Our quarterly financial highlights can be viewed in the context of our historic performance on Page 9 of our investor presentation. Firm-wide revenue for the three month period amounted to $390 million, an increase of 44% compared to the same period last year, and a new quarterly record for our business. Excluding significant items, second quarter pre-tax net income was $50.5 million, up 77% from year-over-year. This translated to adjusted diluted earnings per share of $0.28 for the second quarter and $0.53 fiscal year to-date increases a 56% and 29% respectively. Our business continues to be well-capitalized to support our strategic priorities. During periods of increased underwriting and trading activity, we've taken steps to ensure we have higher levels of capital available to support our business activities. I'm also very pleased to report that, our Board of Directors has approved a quarterly dividend of $0.550 per common share, which brings our fiscal year-to-date dividend payments to $0.11, a 10% increase from our last fiscal year. In connection with COVID-related spending reductions and our ongoing cost savings initiatives, firm-wide non-compensation expenses as a percentage of revenue were 11.7 percentage points lower than the same period a year ago. General and administrative expenses decreased by 36% for the six month period ended September 30, 2020, compared to the same period in the prior year, mostly due to the drop in travel and promotion expenses in this COVID-19 environment. This savings was partially offset by higher trading costs to support our increased activity levels in our Canadian and U.S. businesses, which is also reflected in the stronger revenues produced by these businesses. Our effective tax rate for the second fiscal quarter was 28.1%, up from 18.5% a year ago. As we discussed in our last quarterly update, we required to recognize some of the deferred tax assets in our U.S. operations in the prior year period. Additionally increased profitability earned in higher tax rate jurisdictions of the U.S. and Australia also contributed to the tax rate increase in the current quarter. Compensation as a percentage of revenue was 64%, a slight decrease from the most recent fiscal quarter, but still elevated when compared to the same period last year. This increase was primarily due to an increase in the value of performance share units granted in prior periods, in addition to higher levels of incentive-based revenue during the second fiscal quarter. I'll remind you that our PSUs are paid at the time of adjusting, and this expense is subject to influences of positive and negative share price performance overtime and our anticipated earnings levels relative to targets. Absent any material price movement, we do not expect the value to change materially in the future, and therefore anticipate a return to more normal compensation ratios.  Moving on to our business segment results and starting with capital markets. Our global capital markets business earned revenue of $242 million, an increase of 62% from the same quarter a year ago. The adjusted pretax net income contribution was $43 million for the second fiscal quarter, which is the strongest quarterly contribution in recent memory. This brings the fiscal year-to-date net income contribution from this segment to $77 million, which represents a year-over-year improvement of 165%. We've enjoyed a remarkably strong environment for new issue activity in Canada, the U.S. and Australia, surpassing the already strong level seen in the previous quarter.  During the quarter, we participated in 155 transactions raising $19.3 billion for growth companies. Total investment banking revenue from our global capital markets division was $109 million, a year-over-year increase of 155%. We provided a breakdown of our revenue mix by activity and geography on Page 23 of our investor presentation. You will see here that we've benefited from continued strong activity levels in the life sciences, technology and mining sectors, where we've developed deep expertise and differentiated cross border capabilities. Our U.S. and Canadian businesses were the largest contributors of revenue in pre-tax net income for the three month periods, and the Australian operation recorded the most significant year-over-year increase in revenue. In the U.S., we experienced strong year-over-year gains across all revenue categories, with the most notable increase in investment banking and principal trading of 109% and 92%, respectively, when compared to the same period last year.  Advisory activities in this business also strengthened considerably during our second fiscal quarter, as some of the normalcy return to deal making environment, although still below historic levels. The adjusted pre-tax profit margin in this business for the first half of the fiscal year was 12%. I'm also very pleased to report that we have continued to strengthen our competitive position in the U.S. with market share data showing that CG is outpacing the broader market and conditional share gains for the first half of calendar 2020. In fact, we're very pleased with our market position in all of our geographies. Data from geologic shows Canaccord Genuity as the most active mid-market investment bank globally for the calendar year-to-date. We also continued to be a top ranked underwriter in Canada, we are the number two overall underwriter and also the leading IPO underwriter to date in calendar 2020.  Despite reduced contribution from advisory activities, this business delivered year-over-year growth of 27% primarily driven by investment banking, and commission and fees which increased 66% and 70% respectively. Excluding significant items, the pre-tax net income contribution from our Canadian business was $16 million for the second fiscal quarter, bringing the fiscal year-to-date contribution from this business to $23 million, up 51% when compared to the same period last year.  Results in our Australian Business were the best we've ever seen was record quarterly revenue of $46 million, bringing the fiscal year-to-date total to $89 million, which surpasses all prior full fiscal year results by a wide margin. We know that well a portion of the corporate finance revenue in this business is attributable to unrealized gains in certain inventory and warm positions. This portion is significantly lower than it was in our first fiscal quarter, where the market value can fluctuate significantly. We apply a conservative valuation approach and work to monetize our positions efficiently, which we've been actively pursuing throughout the quarter.  Despite a softer environment for capital raising and advisory activities in the UK and Europe during our second fiscal quarter, CG holds the number two ranking for AME listings year-to-date and has secured a healthy number of new corporate broking wins in this environment. Through October and early in November, we continue to experience elevated activity levels in most of our geographies and key focus areas, although we expect the pace of new business to moderate as we work through the remainder of the third fiscal quarter. Like many of our peers, we still have concerns about the pandemic's ongoing influence on world economies, in addition to near-term uncertainty related to the U.S. Federal Election and the ultimate outcome of Brexit. That being said, I'm very confident in the strength of our market position in each of our geographies and the resilience of our business model. While the longer-term economic impact of the pandemic remain to be seen, there is a historic amount of liquidity and monetary stimulus available to fund forward economic growth. And this bodes well for the work we do to support our small caps, natural resources, and other cyclical industries. Our wealth management businesses also perform very well during our second fiscal quarter. Excluding significant items, the pre-tax net income contribution from this segment increased 24% year-over-year to $27 million. Total client assets grew to $73 billion, an improvement of 12%, when compared to the same period last year. As you will see on Slide 13, we are still very much on track to achieve our mission 2022 objectives for this division. In Canada, the excellent partnership between our capital markets and wealth management businesses created an opportunity for our investment advisors to participate in a remarkable environment for new issue activity. This is reflected in the 38% year-over-year increase in the second quarter revenue contribution from this business, which amounted to $67 million. Excluding significant items, the pre-tax net income contribution was $11.7 million, the highest quarterly contribution on record for this business. The pre-tax profit margin increased to 17.4% for the three month period and to 15.6% for the first six months of the fiscal year. Client assets in Canada increased by 21% year-over-year to a record $25 billion, and the average book size per advisor has grown 26% year-over-year to $170 million. We've made excellent progress in our efforts to advance our North American Wealth Management platform to accommodate the diverse needs of our investment advisor teams and the clients they serve. In recent weeks, we began the implementation of our state-of-the-art account management platforms powered by investment, which will be completed before the end of the calendar year. This powerful tool positions CG investment advisors at the forefront of data-driven holistic account management, which will lead to more meaningful engagements and enhance their ability to provide tailored solutions for their clients. We're also having a terrific experience advancing our mandate to support Morgan Stanley in the launch of their Canadian Wealth Management business. While the recruiting environment remains competitive, we continue to have strong momentum and we're attracting talented IAS from both independent and bank owned dealers. We anticipate some third quarter seasonality as we approach the holidays, but the pipeline remains strong and CG is a very attractive destination for top quality advisors. Revenue in our UK and Europe wealth management business decreased by 3% compared to the same period a year ago. This was primarily due to the reduction in interest revenue, attributable to the lower rate environment, and a reduction in the volume of execution only activities during the three month period. The value of client assets in this business has continued to recover at a faster rate than the broaden UK market, a testament to the exemplary investment management by our professionals in this region. With an additional benefit from foreign exchange rates, client assets in this business amounted to $45.4 billion at the end of the second quarter, an increase of 3% compared to the same period a year ago. Despite the softer revenue environment, we're seeing continued margin and profitability strength in this business, excluding significant items, the pre-tax profit margin in this business was 22.8% for the first six months of fiscal 2021 and improvement of 1.7 percentage points compared to the same period last year. We continue to actively explore a range of solutions in that unlocking greater value from this business while continuing to support its growth. And finally contributions from Australia wealth business has continue to grow since our acquisition of Patterson's a year ago. The adjusted pre-tax net income contribution from this business exceeded $1 million for the first time in our second fiscal quarter. Well, this team is benefiting from a very strong environment for new issues and commission-based activities also highlight the fee related revenue in this business as improved by 3.6 percentage points when compared to the most recent fiscal quarter. Well, we anticipate that the low interest rate environment will continue to negatively impact revenues associated with our deposit lending activities for the balance of our full fiscal year, we are continuing to invest in the growth of this segment while managing our costs carefully. Looking forward, we remain focused on increasing the net income contributions from all our wealth management businesses to enhance our long-term stability and earnings growth. Talent development has always been a strong priority at CG, but it can sometimes take a period of dislocation to cast a light on the outstanding breadth and depth of leadership that we have throughout the organization. During the quarter, we announced two very senior global appointments. Jason Melbourne was appointed Global Head of Distribution. In addition to continuing to be Head of Canadian Equities, he becomes responsible for leading coordination of deal origination and security placement across all of our geographies. Jason also joined our global operating committee where our work closely with our global partners to support the advancement of our key business initiatives. Jen Pardi has advanced to the role of Global Head of Equity Capital Markets, where she is now responsible for driving best practices and coordination of ECM activities across all our geographies. Jen has been the Head of our U.S. ECM business since 2013, where she has been integral to increasing our syndicate participation and strengthening our cross border equity capital markets capabilities. In addition to these appointments, we've made several other promotions across the organization with a focus of building a strong diverse network of talented partners to lead our business into the future. Despite of the challenges of the past seven months the COVID-19 pandemic has not impacted our priorities. The company has continued to perform exceptionally well. And we are benefiting from the improved efficiencies, collaboration, and other positive changes that have emerged from this experience. We continue to realize structural expense efficiencies, while accelerating our investment and advancing our technology and infrastructure. Not all of these will play out in the immediate quarters. But as we think of how our business and our industry will look over the coming years, we continue to take steps to position ourselves for long-term success. I want to take a moment to thank the entire CG team for their ongoing efforts. Both new and existing CG clients have benefited from our differentiated offerings and your relentless commitment to helping them achieve their goals.  Looking at the overall business environment, we remain encouraged by what we're seeing across our businesses and geographies, but also recognize that the pandemic Brexit and a difficult transition for the U.S. Administration will continue to have an impact on market conditions. In the near term, we expected financing activities and our core sectors will remain elevated throughout the year, of the -- not as the extraordinary pace that we've experienced in our first half. We're also seeing improved activity levels in our advisory businesses and the outlook for our M&A activities is encouraging. In any environment, our strategic focus is clear to deliver increased value to our clients across each of our businesses and geographies and strengthen the value of our business for our employees and shareholders. We're entering the second half of fiscal 2021 with good momentum for activity levels and our core focus areas and a strong market position in all of our businesses. Our conversations with clients are constructive, and we remain cautiously optimistic in our outlook for the balance of the fiscal year.  With that Don, and I will be pleased to take your questions. Operator, could you please open up the lines? 
Operator: Thank you. [Operator Instructions] Your first question comes from Jeff Fenwick of Cormark Securities. Your line is open.
Jeff Fenwick: Hi, good morning, everybody. So Dan, I just wanted to start off talking about capital available to support the growth of the business. And you referenced that in your opening comments here. I guess we might want to look at some of the growth out of your capital markets units and the extensive is there my question? Or my concern might be around regulatory capitals. Can you just characterize, how much -- is there enough internally generated profitability in those units that's sufficient to support all the surgeon underwriting that you got there? Or is there a need to become the question capital down into those groups? 
Dan Daviau : I'll let Don take it to start with, Don? 
Don MacFayden: Yes. The simple answer is yes, there is sufficient cap regulatory capital throughout the organization to support the -- certainly the current levels of activity and the kinds of activity that we sort of foresee ahead of us. The biggest user of capital and the most variability is as you would know, the underwriting margin required to put be put up in both Canada and the U.S. depending upon the underwriting calendar at any point in time. It's an activity that's actively managed and looked at. And we had healthy levels that support the kind of underwritings that we see in front of us.
Dan Daviau : Jeff, you noticed that we probably, calmed down a little bit on our stock buyback activity throughout the quarter, given the healthy use of our capitals and our capital markets business. But again, very profitable and certainly have enough to support our business today.
Jeff Fenwick: And I think, and I guess when we put it in the context of the profitability growing so much, does it give you some more firepower to pursue investments than in other parts of the business? I know, in the UK, for example, you kind of wish you had more of a currency in your stock and decent transactions, but are you in a position to push a bit more there? Does it change your view on the strategic approach to the UK market and the options are contemplating? Or how do we think about that?
Dan Daviau : I mean, broadly outside of the UK, broadly across the business, we have a defined strategic plan. One we've been executing on for the last several years. I don't think you're going to see any material change to what we've done strategically outside of UK wealth. We'll continue to grow our Canadian Wealth business, we've aggressively recruited in that business, we've spent over a $100 million recruiting into that operation. We obviously got some other growth initiatives in Canada. We've bought that UK Wealth, sorry, the Australia Wealth business for $27 million last year, that's working out well. We made over $ 1 million this quarter in that. And then on our UK Wealth business specifically, I mean, we have said that, we're going to continue to pursue options with respect to giving that business, the capital it needs to continue to grow, and we are on that path of doing that and hope hopefully over the next several quarters we'll have something announceable on that side.
Jeff Fenwick: Okay. And I just wanted to touch on Australia again. I mean, it is such a remarkable shift in their performance there, and it's very hard on the outside. They get a sense of how sustainable that momentum is, because it is a multiple of what they would have done typically in a quarter. We're kind of covering the operas there. I mean, obviously there's strength and a lot of the small cap mining equities, firms are raising equity at a much higher pace this year. Any other color you can offer around. Do you expect that kind of level that persists? You did mentioned there are some claims on broker warrants and that type of thing helping to also, but how should we think about that?
Dan Daviau : Yeah. I mean, the several folds I guess. I mean, yes, Australia did more revenue last quarter than we did all last year. So typically, you'd said a walk into that and you look at something like that and say, that's not sustainable long-term. What is the right pace of that activity? Hard for us to predict in a capital markets business, as you can imagine. Competitively though, we fundamentally changed in that business. With the additional Pattersons and with the strength of our corporate operation, we are a different competitor than we used to be. And that was the premise in part of adding a wealth business to a very strong capital markets business there, and it's played up. Our syndicate positions have moved materially. We're leading the larger deals, multi hundred million dollar deals in that marketplace as well as continuing to support our small cap client base. So, I don't know what the new normal is, but I know it's higher than where it's been last year for example, so together, we will try and measure that. Again, hard for us to project. It's certainly not all mining driven. I don't have the numbers at the top of my head here, but it wouldn't be half of our revenue, mining wouldn't be half of our revenue in that market. I mean, the mining turned around and the early cyclical stock turnaround is important, and that's important globally, as you can imagine as we see kind of a global recovery and reopening of the economy. Those are the sectors that we're active in, or the sectors you want to be in whether it's mining. And we mentioned this on our last quarter, it was picking up, it was 24% of our global revenues last quarter in corporate finance, which is basically the same as technology and our life sciences sectors, which are also incredibly active. So, we are very optimistic about it. And then the final point, it's not all stock gains. It was a, you heard me say in the call, it was a much smaller proportion. This quarter of gains, you see in that revenue that you saw in the first quarter, a much more modest numbers. So this is real guided cash commission, not mark-to-market on positions, and we continue to monetize those positions pretty frequently. So the business is performing really well. Marcus and our entire team in Australia have done a phenomenal job.
Operator: Your next question comes from Rob Goff with Echelon. Please go ahead.
Rob Goff: Perhaps sticking with a down under, could you talk a bit deeper on the coordination of the integration that you're seeing with the capital markets and wealth management? And how might that be impacting the transitioning of funds from the trading platform into your AUM?
Dan Daviau : Yes. The problem with a pandemic, Rob is a great question, but the problem with the pandemic is I haven't been to Australia in a year. Really obviously we stay incredibly coordinated globally and over zoom, those businesses part, we had several objectives in Australia as we bought Patterson's and merge Patterson's and give them the global tools that our other wealth businesses have, give them the resources, operate as an integrated global platform on wealth. But part of the premise, as I indicated before was to tie that into our capital markets business, provide our capital markets business. The synergies that we see in Canada. In Canada having an integrated model is really important. It's important to our capital markets business. We have a stronger capital markets business because we have a wealth business is a 10% stronger, 20% stronger, 30%. I don't know, but it's much stronger because of it. Similarly speaking, and even more importantly, it really helps our wealth business associating our wealth business with our capital markets business in Canada creates a much stronger business. There's obviously client referral activity, deal revenue. It allows us to invest more in the platform. You've seen our investment spend here. You've seen the Morgan Stanley contract. You've seen our global offering and the other technology spends we've had. That makes it a much stronger wealth platform in Canada. And what we're trying to do is mirror what we've done in Canada in the Australian marketplace. And in Canada, we've taken our assets from 8 billion or 9 billion, depending on when you want to start $225 billion, we've taken a business. That means zero to a business is making $9 million and $10 million a quarter now pre-tax. So in Australia, we're starting with zero. We had started with relatively speaking, zero net income in our wealth business. It's up to a million dollars a quarter now it's up four years in Canada. It's going to take time in Australia, but the team there is doing exactly what it needs to do to continue to grow. 
Rob Goff: And you mentioned in your comments that the PFC cost going forward would be primarily related to the share price. I would take it that change would reflect on your being fully on track or perhaps ahead of your mission 2022 goals. Could you talk to what the next might have been for the year-to-date? 
Dan Daviau : Don, do you want to take that one? The PSU charge?
Don MacFayden: Yeah, sure. As we talked about last quarter, the PSU charge, obviously stood out was more impactful than previous quarters. And that was a big driver of that was the increase in the share price. That's a big component of the valuation of those PSUs. But it's not the only component, there are performance metrics that affect the valuation of that. So we saw some continuation of that into the second quarter. But I think going forward, we should see. So the continuation of that all this, obviously saw some elevation and comp ratio in that second quarter. But I think as we go forward, I think that the largest driver is going to be share price. So I think we'll see as we progress through to the end of the year return to more normal levels of comp ratio than from what we saw this quarter and the previous quarter. 
Dan Daviau : Yes, we would expect to run 60% -- or some 60%, on our comp ratio, I think you can think that the incremental comp ratio is primarily PSU mark-to-market. Remember that those PSUs, they don't have -- a lot of low vest for another two and a half, three years. So this is a mark-to-market position. And yes, they will grow, the value of those or the charge will grow with the stock price. Generally speaking, that's a good news event, if things are performing really well, the charge would be a little higher, and obviously, vis-a-versa. So I think that answers your question. I'm not sure. 
Rob Goff: And if I may, one last question on the U.K., could you perhaps flesh out a bit what you're thinking in terms of raising funds in the U.K. in terms of the different forms of raising capital available to you? What the advantages might be? 
Dan Daviau : Yes, I want to be a little nuanced at this stage, because we're obviously in the middle of assessing things and executing things. But I think we’ve said in the past, and I know, we've talked that scale matters in that business, we have a huge business there, we've making $16 million or so pre-tax, a year in that business, our margins have continued to improve. But scale matters in that business. And we're already a large participant, but we want to be a larger participant. For that scale, capital will be required for those businesses in the U.K. tend to be valued significantly higher than where our stock is at seven times earnings or wherever people have us right now. So if we can raise capital at a higher valuation to facilitate further growth in that market and give David as far as he and his team in the U.K. has done a phenomenal job executing, the capital, they need to continue to grow that business without diluting our shareholders of our public company at a much lower valuation, that would be optimal. So we're obviously pursuing a range of alternatives that will facilitate that. 
Operator: Your next question comes from Graham Ryding from TD Securities. Please go ahead. 
Graham Ryding: Just to wrap up on the PSU expense sounds like this quarter was less about losing in share price and more about just performance in the quarter is what drove the PSU expenses quarters in share price?
Don MacFayden: Yes. Those performance metrics played a bigger role than just simply the share price. I think that's fair.
Graham Ryding: But 60% is still a reasonable target for your overall comp ratio.
Don MacFayden: That's what we plan on and that's our target. Yes. In that range, yes.
Graham Ryding: And on the Canadian Wealth side, was there some recruiting activity that closed in the quarter that was decent you think, pretty decent quarter-over-quarter growth in your assets there, any color?
Dan Daviau : I think a lot of that was, number one, new net inflows, also good market performance. But we did have three recruits that joined throughout that quarter. And the problem with a recruit is great when they joined the quarter, often it takes a month or two or three to bring their books over. So, I'm not actually sure. You would have seen that growth in the quarter. You would have seen the previous quarter's work groups. But yes, our recruiting activity remains good, notwithstanding COVID, which is a pain to recruit through, as you can imagine, plus now we're going into the holiday season. But yes, our recruiting activity is strong. Remember that, notwithstanding, other things going on, Graham, we still have a trillion dollar market between the banks and the independence that we're recruiting into and we're still only at $25 billion. So, we obviously have growth aspirations well beyond that and we continue to achieve those.
Graham Ryding: Understood. And I think there's been some acquisition activity this year in outspaced with GNP and align capital, for example. Is that an impact at all on either the cost of recruiting advisors? Or perhaps the amount of advisors who are open to move in first?
Dan Daviau : We haven't seen that. We still have a robust pipeline. We expect several new recruits to be joining us in the next weeks and months. Again, this is a six month process to bring somebody over, it's not an overnight decision in most cases. So, now we continue to see a pretty good pipeline. We've got pretty good visibility on that pipeline. I don't think it's had any impact on us whatsoever to-date. And again, Graham, and I kind of made the point before, we've got an integrated business over here. We've got a phenomenal wealth business and growing, but we also have a strong capital markets business. We could really accommodate almost any kind of advisor, whether you're a complete fee-based advisor or you play in new issues and you liked the new issue market. We can do that. On the independent landscape, there's nobody like us. And so, we fish from a much broader pool of people and we brought in an immense amount of people coming over. And quite frankly, having recruited now over 45 teams of advisors, we've got a healthy number of satisfied customers, so to speak that have come over and are out telling their friends as much. So, we haven't seen the change in the cost in any material way, and we're pretty excited by our continued growth along that. We've also made some material investments in that and other technology platforms. So, I think from a technology perspective, we're right at the top of our game. I don't think there's a better platform in this country for an advisor to join.
Graham Ryding: Understood. And my last question, if I could just UK Wealth platform, if there is a transaction that develops on that front, from a tax consideration, is there any like, sort of cost-based that we should be considering for that UK Wealth business?
Dan Daviau : Don?
Don MacFayden: Well, that would obviously depend on the form of the transaction. I mean, we do have a healthy cost base for that business unit, resulting from acquisitions over the years. But again, it really depends on the form of the transaction. As I think we've described, we're not talking about or haven't really anticipated a sale as such as that business or a portion of that business. So although there might be some, potential reduction in ownership interest, depending on the form of the transaction, we're not planning any P&L associated with a transaction. 
Dan Daviau : We wouldn't see a big tax bill flow in the context of a transaction that we're contemplating. 
Operator: There are no further questions. I will now return the call from Mr. Daviau for closing remarks. 
Dan Daviau: Well, thank you, operator, and thanks for everyone joining us today. Certainly, before too long, it's going to be thanksgiving, the U.S., followed by the holiday season in the start of the New Year. We’ll certainly hope that there'll be an end to the restrictions. And the Pfizer news today was fantastic. But we're going to keep on doing what we do best, which is certainly supporting a vibrant marketplace for our growth companies globally. And obviously the investors that follow them. Certainly for our colleagues in the U.S., I wish you a very safe and happy holiday season, no matter how you are going to choose to spend it. And we look forward to updating everyone again in early February when we release our third quarter results. So, operator, thanks and please feel free to close the lines. 
Operator: Thank you, sir. Ladies and gentlemen, this concludes conference call for today. Thank you for participating. Please disconnect your lines.